Operator: Good day, and thank you for standing by. Welcome to the Summit Hotel Properties Q3 2024 Earnings Conference Call. At this time, participants are in a listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] Please be advised that today’s conference is being recorded. I will now like to hand the conference over to your speaker today Adam Wudel, EVP of Corporate Development.
Adam Wudel: Thank you, and good morning. I am joined today by Summit Hotel Properties’ President and Chief Executive Officer, Jon Stanner; and Executive Vice President and Chief Financial Officer, Trey Conkling. Please note that many of our comments today are considered forward-looking statements as defined by federal securities laws. These statements are subject to risks and uncertainties, both known and unknown as described in our SEC filings. Forward-looking statements that we make today are effective only as of today, November 5th 2024, and we undertake no duty to update them later. You can find copies of our SEC filings and earnings release, which contain reconciliations to non-GAAP financial measures referenced on this call on our website at www.shpreit.com. Please welcome, Summit Hotel Properties’ President and Chief Executive Officer, Jon Stanner.
Jon Stanner: Thanks, Adam, and thank you all for joining us today for our third-quarter 2024 earnings conference call. We are proud of our third quarter financial results, highlighted by our third consecutive quarter of adjusted FFO growth, despite what was a challenging quarter for industry fundamentals broadly and several of our markets more specifically. Today, Trey and I will provide additional commentary on the current operating environment, including the effects of the recent hurricanes, our outlook for the balance of the year and into next year, our recently announced sale of the four-point San Francisco Airport Hotel, and an updated review of the significant progress we have made strengthening our balance sheet. Our third-quarter operating results reflect the continuation of many of the industry trends we've experienced over the past several quarters. Specifically, the continued strength of group demand, the ongoing recovery of business travel, which is driving better relative midweek performance in urban and suburban markets, and the ongoing normalization of leisure travel demand patterns, which is offsetting some of the gains realized in other segments. Overall, RevPAR for our same-store portfolio increased 0.2% in the quarter, driven by a 1.2% increase in average rate that was partially offset by a 1% decline in occupancy. Third quarter RevPAR in our urban and suburban hotels increased 1.3% and 3.9% respectively with those two location types representing nearly 75% of our total room mix. Weekday RevPAR grew 1.6% as Tuesday and Wednesday nights continue to exhibit the strongest growth, particularly in our urban and suburban hotels, which experienced RevPAR growth of nearly 5% during the quarter reflecting strong group and improving business transient trends. As hybrid work schedules have remained in place, we've seen increased opportunities to drive higher rates on compressed midweek nights when larger urban markets are once again often fully occupied. On a monthly basis, July and August, RevPAR grew 1.5% and 2.2% respectively, which was generally in line with our expectations going into the quarter. As moderating leisure demand in peak summer travel months was expected to pressure top-line growth rates. September RevPAR declined 3% year-over-year, driven entirely by a reduction in occupancy, as softness around the Labor Day holiday at the beginning of the month was compounded by disruption from hurricanes, Francine and Helene later in the month. We owned 14 hotels that were in the path of these storms, all of which remained open and operating and fortunately did not sustain any material physical damage. We estimate the storms displaced nearly $400,000 of revenue, reducing RevPAR growth by 20 basis points, and approximately $300,000 of EBITDA in the third quarter. Hurricane Milton also created some short-term disruption in early October, particularly in the Tampa and Orlando markets. Though we remain optimistic that at least a portion of the lost revenue will be recovered over the remainder of the fourth quarter and into early next year. Our preliminary October results reflect a modest re-acceleration in top-line growth with October RevPAR expected to increase approximately 2% year-over-year. At the beginning of the year, we identified several slower-to-recover markets that we believe have better growth profiles in 2024 and beyond. As expected, our hotels in these markets have continued to significantly outperform industry metrics. Specifically, our hotels in San Jose, New Orleans, Louisville, Baltimore, and Minneapolis had combined RevPAR and EBITDA growth in the third quarter of 8% and 12% respectively. These metrics are even more compelling on a year-to-date basis, as RevPAR has increased 13% and EBITDA 37% in those five markets year-over-year. Broadly, the outlook for continued outsized growth in these markets, which represent approximately 15% of total guest rooms in our portfolio remains favorable into next year. San Francisco remains the notable negative outlier as the market continues to deal with a weaker convention calendar, a lack of inbound international travel, and limited office attendance. In our press release yesterday, we announced the closing of the sale of the 101 guest room, Four Points by Sheraton, San Francisco Airport Hotel for $17.7 million. The hotel was forecasted to essentially break even in hotel EBITDA this year. With the completion of this sale, we have now sold 10 hotels over the last 18 months generating nearly 150 million in gross proceeds. The average trailing 12-month RevPAR at the time of sale for these hotels was $85, nearly a 30% discount to the remainder of our portfolio. The sales prices reflect a blended capitalization rate of less than 5% when accounting for nearly $50 million of near-term capital needs. That will be avoided as a result of the sale. The totality of our disposition activity has facilitated nearly a full-term reduction in our net debt to EBITDA ratio, enhanced the quality and growth profile of our portfolio, significantly reduced near-term capital requirements, and increased our capacity for external growth. Before I turn the call over to Trey, let me provide a few thoughts on our outlook for the remainder of the year and into 2025. We are currently operating in a slightly positive top-line growth environment that is broadly expected to persist through the end of the year. We continue to see meaningful in the month and in the quarter swings in demand trends and our results have been more dependent on special event demand and holiday timing than in previous cycles. There are some reasons for optimism in the fourth quarter, namely the return of Taylor Swift concerts in three of our markets, and potential longer term demand driven by recovery efforts from the fall storm season in the southeast. October contributes approximately 40% of our total revenue in EBITDA in the fourth quarter, and we were pleased to see the resumption of some of the positive trends that drove top-line growth in our portfolio in the first eight months of the year. Specifically, growth in urban, suburban, and airport locations. Industry-wide expectations for next year broadly reflect a more of the same fundamental narrative, moderate top line growth driven by continued strength and group demand, positive trends in business transient, and a more subdued outlook for leisure travel. We believe there's potential for better leisure trends as comparison to this year ease and a weaker U.S. dollar could start to facilitate the normalization of inbound/outbound international travel that became a meaningful headwind the past two years. As we mentioned before, Tuesday and Wednesday nights are largely fully occupied again in key urban markets, and we have strong pricing power on those nights. The potential exists for some of that demand to expand into the Monday and Thursday shoulder nights as room availability becomes more constrained. The expense outlook is more favorable in 2025 as wage pressures have broadly moderated. Finally, we believe we are beginning to see a transaction environment that is more conducive to external growth as capital markets conditions continue to improve and in place yields now more properly reflect the current interest rate and operating environment. In summary, we remain optimistic about the longer term outlook for the industry, particularly in what is likely to be an elongated period with very little supply growth and the prospects for Summit more specifically. With that, I'll turn the call over to our CFO Trey Conkling.
Trey Conkling: Thanks, Jon and good morning, everyone. Our third quarter 2024 performance represented a continuation of prior quarter operating trends as growth within our portfolio was once again driven by the company's urban and suburban hotels, which generated RevPAR increases of 1.3% and 3.9% respectively. Strength in our urban portfolio was driven by continued outsized growth in notable Sunbelt markets such as Houston and New Orleans, but even more so by markets outside of the Sunbelt such as San Jose, Chicago, Louisville and Cleveland. In particular, our urban hotels benefited from robust group demand for which RevPAR increased 10% versus the third quarter of 2023. It should be noted that our urban portfolio faced a difficult year-over-year comparison as three cities within our portfolio hosted Taylor Swift concerts in the third quarter of last year compared to none this year. Growth within our suburban portfolio was also driven by strength and group demand for which RevPAR increased 10% in the third quarter. This was led by our hotels in the Frisco submarket of Dallas, suburban Denver, Hillsborough, Portland, and Houston Energy Corridor, which had a combined RevPAR increase of over 9% for the third quarter. Stepping back Summit's urban and suburban portfolios have generated RevPAR growth of 3% and 4.2% through the first three quarters of the year respectively, which have outpaced the total industry by 180 basis points and 300 basis points year to date. With nearly 50% of our portfolio guest rooms located in urban markets and nearly 75% of our portfolio guest rooms located in urban and suburban markets combined, we believe our portfolio is well-positioned for continued outperformance as growth in group and business transient serve as the primary demand catalyst for the industry moving forward. While third quarter RevPAR for our resort and small town metro assets declined year-over-year due to continued normalization of leisure related demand patterns. The company's third quarter results were also impacted by revenue displacement from Hurricane Helene in markets such as Asheville, as well as from transformative ongoing renovations at hotels such as the Courtyard, Fort Lauderdale Beach. Moderating expense growth continued in the third quarter as expenses increased approximately 3% year-over-year when adjusted for one- time items incurred in the quarter. This represents the fifth consecutive quarter that expenses have exhibited a more normalized cadence, representative of a stabilized cost structure. Given modest revenue growth, our asset management team and hotel managers have successfully focused on reducing hotel reliance on contract labor and improving employee retention. Third-quarter contract labor declined 13% on a nominal basis and 12% on a preoccupied room basis versus the prior year. Contract labor now represents 12% of our total labor costs, which is 700 basis points below peak COVID-era levels, but 400 basis points above 2019 levels suggesting the opportunity for further improvement. We also continue to see improvement in employee retention, down nearly 500 basis points compared to a rolling 12-month average from a quarter ago, which results in improved productivity in the hotels and reduce training costs. Third quarter wages increased a modest 2.2% versus prior year as the right sizing of labor force wages have mostly been absorbed. Year-to-date, pro forma operating expenses have increased 2.9% or only 1.4% on a preoccupied room basis. We continue to be encouraged by expense trends in our portfolio and how the current baseline cost structure positions the company for future bottom-line growth. Proforma hotel EBITDA for the third quarter was $59.7 million, a 3% decrease from the third quarter of last year as occupancy contracted 80 basis points due in part to disruption from hurricane activity. Year-to-date, proforma hotel EBITDA has increased over 3% on RevPAR growth of 1.6%. Despite this modest revenue growth, our hotel EBITDA margin has expanded over 30 basis points in the first nine months of the year, highlighting the benefits of our hotel's efficient operating models. Adjusted EBITDA for the quarter was $45.3 million, a 2% decrease compared to the third quarter of 2023, which is primarily driven by the net disposition activity compared to a year ago. Year-to-date, adjusted EBITDA has increased 4.5% versus 2023. The success of recent capital allocation decisions. In particular, the $150 million of accretive asset sales has reduced corporate leverage by approximately one turn and benefited AFFO. In the third quarter, adjusted FFO increased 4% to $27.6 million or $0.22 per share. This represents the third consecutive quarter of year-over-year growth in adjusted FFO. Year-to-date adjusted FFO has increased over 9% versus 2023. From a capital expenditure standpoint in the third quarter, we invested $22.5 million in our portfolio on a consolidated basis and $19.3 million on a pro rata basis. Year-to-date, we have invested $61.5 million on a consolidated basis and $52.3 million on a pro rata basis. CapEx spend for the third quarter was primarily driven by comprehensive renovations at our Courtyard, Fort Lauderdale Beach; Courtyard Grapevine; Spring Hill Suites; Dallas Downtown; and Hyatt House Denver Tech Center. The company's continued investment in our portfolio has resulted in a RevPAR index of 115 for the trailing 12 months, ending September 2024, and an average effective age of less than six years. This ensures the quality of our portfolio and positions the company to drive profitability in the future. The balance sheet continues to be well-positioned with total liquidity of over $400 million, an average length of maturity of nearly three years, an average interest rate of approximately 4.7%, and a leverage ratio that is nearly a full term lower than it was a year ago. As a result of our interest rate management efforts. Our interest rate exposure continues to be effectively managed with a swap portfolio that has an average SOFR rate of approximately 3% and 77% of our pro rata share of debt is fixed after consideration of interest rate swaps. When accounting for the company series E, F, and Z preferred equity within our capital structure, we were over 80% fixed at quarter end. With no significant maturities until 2026 a staggered maturity schedule and a strong liquidity profile we believe the company is well-positioned to achieve its growth objectives. On October 24th, our Board of Directors declared a quarterly common dividend of $0.08 per share, which represent a dividend yield of approximately 5.2% based on the annualized dividend of $0.32 per share. The current dividend rate continues to represent a modest AFFO payout ratio of approximately 35% at the midpoint of our guidance leaving ample room for potential increases over time, assuming no material changes to the current operating environment. The company continues to prioritize striking an appropriate balance between returning capital to shareholders, investing in our portfolio, reducing corporate leverage and maintaining liquidity for future growth opportunities. Included in our press release last evening, we revised our full-year guidance for 2024 operational metrics as well as certain non-operational items. This outlook is based on management's current view and does not account for any unexpected changes to the current operating environment, nor does it include any future transaction or capital markets activity other than the sale announced last evening. Based on the company's year-to-date operating results as well as our future outlook, we are providing an updated RevPAR growth range of 1% to 2% for the full year to reflect the continued normalization of leisure demand and the recent impact from hurricane activity. Although we have tempered our outlook for RevPAR growth in 2024, we have made a very modest revision to our adjusted EBITDA midpoint, and we are maintaining our adjusted FFO midpoint. Our revised adjusted EBITDA range of $188 million to $194 million represents a 0.5% decline at the midpoint. Since providing our initial 2024 guidance that included an adjusted EBITDA midpoint of $194 million, we have sold over $100 million of assets. We estimate approximately $3 million of foregone adjusted EBITDA as a result of this disposition activity, which effectively results in an adjusted EBITDA guide that is unchanged at the midpoint since the beginning of 2024 on a same property basis. Importantly, we are maintaining our adjusted FFO midpoint at $0.95 per share and narrowing the range to $0.92 per share to $0.98 per share as the company continues to benefit from recent accretive dispositions and continue de-leveraging. At the midpoint of our RevPAR guidance range, we would expect hotel EBITDA margin to contract approximately 25 basis points year-over-year, which applies contraction in the fourth quarter of 200 basis points, primarily related to difficult year-over-year property tax comparisons given the significant appeal success realized in the fourth quarter of 2023. Our current full-year outlook for hotel EBITDA margin contraction of 25 basis points represents a meaningful improvement compared to our initial full-year guidance in February 2024 with estimated hotel EBITDA margin contraction of 75 basis points. We expect pro rata interest expense, excluding the amortization of deferred financing costs to be approximately $55 million. Series E and Series F preferred dividends to be $15.9 million, series E preferred distributions to be $2.6 million, and pro rata capital expenditures to range from $75 million to $85 million. As previously mentioned, given the increased size of the GIC joint venture, the fee income payable to Summit now covers nearly 15% of annual cash corporate G&A expense, excluding any promote distributions Summit may earn during the year. And with that, I'll turn the call back over to Jon for closing remarks.
Jon Stanner : Thanks, Trey. Before we open the call for questions, I want to take a brief moment to publicly thank the members of our team and those of our management companies for their efforts in navigating a few very difficult weeks during the recent hurricanes. Several of our management company associates were personally affected by the storms and I'm proud that through our Summit Foundation, we've been able to provide valuable financial support to many of those who were affected. We wish them all the best as they work through the long and difficult recovery. We'll now open the call to your questions.
Operator: [Operator Instructions] Our first question comes from Austin Wurschmidt with KeyBanc Capital Markets.
Austin Wurschmidt : Jon, really appreciate kind of the early thoughts on next year, but wanted to focus specifically on the 13 or 16 hotels in those 4 to 5 markets that have kind of lagged meaningfully in the recovery. And just get a sense, specific to those markets again, what really gives you the confidence that they could continue to deliver above-average growth if we do remain in sort of a slow growth economic and RevPAR growth backdrop. What specific I guess from a demand perspective has changed for these markets that you think that they're going to continue on the trajectory you've seen this year?
Jon Stanner : Yeah, good morning, Austin, and appreciate the question. Look, it's a little bit of a different story for each one of those markets, but we do believe we're going to continue to see outsized growth in those markets through the balance of this year and very likely into next year. New Orleans for example, had a Taylor Swift concert in October, so we'll have a huge fourth quarter there. They host a Super Bowl next year, which will be a big lift to that market and just broadly speaking, the convention center calendar is better in ‘25 in New Orleans than it was in ‘24. In San Jose Silicon Valley, you're starting to see the return of some of the tech-driven midweek business transient demand. So we're largely full again on Tuesday, Wednesday nights in that market, which is driving better year-over-year growth. That really has started to take hold in the second half of this year and we expect those trends to continue into next year. And then I think, the one common element amongst all of the five markets kind of X maybe core San Francisco is just the demand trends are better off of a very low base. And I don't think this was kind of a 12-month recovery where we got everything back in ‘24. All of those markets are still performing, while they're performing much better. They are still a pretty significant GAAP to where they perform pre-pandemic. Again, we don't expect to get all of that back in a 12 to 24-month period, but we do think that the bar is effectively low enough that there's additional room for growth in those markets as we turn the calendar to next year.
Austin Wurschmidt : That's very helpful. And then Trey, I recognize you have the tough expense comp. You called out in the fourth quarter. Is there anything else in ‘25 that you'd call out, I guess, ahead of providing formal guidance that we should be aware of from a comp perspective, or do you think it's a relatively kind of stable year as you see it today?
Trey Conkling: Yeah, look, we've obviously focused on the fourth quarter given some of the property tax headwinds that we're going to face given the positives that we saw in 2023 from a rebate perspective. As we look at 2025 we hope that I think will be a more traditional kind of year-over-year cleaner comp year. We've talked a lot about the labor dynamics that have been in play through this year. The expenses that we've -- expense growth that we've incurred so far this year has been kind of in that 2.5% to 3% zip code, and I think it sets up well for next year from a kind of comparable standpoint, from an expense perspective.
Jon Stanner: Yeah. Also, you know, I might add, and again, we're, you know, we are working through budgets for next year right now, and we're not in a position to provide guidance, but I do think if you look at the way that the expense environment normalized throughout 2025, you know, kind of the implied midpoints of our full-year guidance range imply at 1.5% RevPAR growth on the top and 25 basis points of margin contraction on the bottom. I think when we gave guidance initially at the beginning of the year, we talked about needing 3% to 3.5% RevPAR growth to breakeven on margins. Clearly, we were able to manage expenses much more efficiently than that, and part of that is a reflection on the great work that the team did to manage expenses in a lower RevPAR growth environment, but also what you're seeing this kind of continued normalization in the wage, and the labor environment, which has moderated expense growth for us.
Trey Conkling: Yeah, I think that's kind of most evident is when we gave initial guidance at the beginning of this year, we thought expense growth would be 4% to 5% to Jon's point. And, you know, it's going to we think now it's probably 2.5% to 3% in wage growth now sits in the low twos, and so that gives us some conviction as we kind of think about the cost structure for next year.
Operator: Thank you. And our next question comes from Michael Bellisario with Baird. Your line is open.
Michael Bellisario: Jon, just wanted to go to transactions. You sounded more optimistic about the potential for capital redeployment acquisitions. I think you referenced higher yield. Is that because seller expectations have come down? Maybe what are those going in yields today? How much have they moved versus a quarter or two ago? And then how would you differentiate kind of leisure resort potential acquisitions versus urban acquisitions? Thanks.
Jon Stanner: Yeah, appreciate the question, Mike. Well, look, you know, let me kind of take a step back and we've talked about, for 18 months now, and we've gone through a very methodical targeted process where we've sold 10 assets, we've generated $150 million of proceeds, and we did it in an environment that as everybody's well aware, has been a very slow transaction environment generally and I think that we took the approach that we did because we felt like the execution would get us to a better result. So we sold $150 million of assets, we eliminated about $50 million of capital needs in those assets. On a blended basis that equates to less than a 5% cap rate, including capital and less than a 6% cap rate, even excluding capital. So we were, I think we were very thoughtful in how we went about targeting assets for sale, lower RevPAR, lower margin hotels, and lower growth markets with significant capital needs. That did a couple of things for us. One, it delevered the balance sheet, and our net debt to EBITDA as we said in the prepared remarks, is a full turn lower than it was when we started the process. It has improved the quality of the overall quality of the portfolio and as you've alluded to, it has given us some capacity for external growth. We do think that, while the transaction market hasn't maybe thawed completely. We do think we're beginning to see the signs of a more of a market that's more conducive to transactions. The capital markets have improved dramatically, and I do think that seller expectations, broadly speaking, have adjusted for the condition where rates are today and some of the fundamental uncertainty that we've seen in the business even in the last 60 to 90 days. And so we are, again, we try to always be active in the market. We try to always make sure we have an active pipeline, but we feel good about the transactions that we've executed today.
Michael Bellisario: And then anything specific on leisure resorts versus urban on the transaction side?
Jon Stanner : No. Look we've always talked about being kind of market agnostic. I think if you go back and you look at where we've acquired since the pandemic, we've acquired the end of the pandemic. We've acquired about a billion dollars of assets. All of that has either been in the Sunbelt or in mountain markets, and those assets have performed very, very well. I think where we've seen kind of near term better fundamental growth. And I think the outlook is potentially better in the kind of the near to medium term is in some of these urban markets where we're seeing better growth on Tuesday and Wednesday nights. It's really being helped by the strength of groove business and kind of this grind higher in business transient demand as we've described. We do think that those trends will continue to play out over the near to medium term, and I think that creates some interesting opportunities in some of those markets.
Michael Bellisario: And then on a related point, I understand you've sold wholly-owned assets, sort of a balance sheet motivation there, but maybe on the flip side, where are you in the life cycle of some of the joint venture assets and eventually or potentially selling those, realizing some of the promotes on some of those deals? And that's all for me. Thanks.
Jon Stanner : Yes, we have sold two assets out of the joint venture to date. Particularly related to the NCI portfolio, we identified, I'll call it a handful of assets that were not going to be long-term holds. For us, very often the trigger point for those sales was when we got to a point where we needed to put material capital into the assets. I think that thesis is still very much in place. You shouldn't be surprised for us to, to continue to sell some of the lower RevPAR lower margin assets in the joint venture portfolio that will ultimately need capital over the next 12 to 24 months.
Operator: Our next question comes from Chris Woronka with Deutsche Bank.
Chris Woronka: Jon, I know your exposure to union markets is very small, but as you kind of read about more of these deals getting done, do you have any concerns that labor costs come back again in the opposite direction and some of that -- some of the outcomes of the negotiations spill over into maybe some of your urban markets that concern at all?
Jon Stanner : Yes, look, I do think we're very mindful of where wage pressure is. And as you alluded to we only have 2 union assets in the portfolio today, but we do operate hotels that have exposure in those markets. And so, it's a priority of ours to make sure that we're maintaining the right employee relationships and that we're maintaining the right competitive wages. I will say, you know, 65%, two-thirds of our portfolio is in the Sunbelt where there's generally less of a union presence. And I think despite some of the headlines that we've seen and some of the disruption we've seen around the union activity in the industry, over the course of the last quarter or so, we've genuinely remained pretty insulated from some of that activity and it's something that we're just very, very mindful of continuing to make sure that we have the right programs and employee relation programs in place to manage that.
Chris Woronka : Okay. Thanks, Jon. And then I think we heard Marriott yesterday talk about some expense reduction targets at their company, and then they kind of said that some of that was going to also filter through to owners, and I don't know if that may have been a little bit more reference to full service or not, but is there anything you are looking for or hoping or expecting from brand companies with respect to some relief on costs from things they can control or mandate?
Jon Stanner: Yeah, we kind of read the same thing that you did, Chris. I don't have any insight into that. It certainly would be welcomed, but nothing that anything that I could share that's tangible on how it would affect us, though we'd certainly welcome a lower cost program.
Chris Woronka : Sure. Yeah. Got you. One more if I can, I think you guys still have about 11 Hyatt places if I did the math correct, and I think probably more of them are kind of newer purpose-built, but I think some might be legacy and Hyatt has kind of said that they're going through a process of, you know, looking at those. Can you just give us an overview of where your, Hyatt places stand kind of relative to any? Is there going to be any outsized capital need or is there any thought to selling any of them or anything like that? Thanks.
Jon Stanner: Yeah. Look, we've had outsized exposure to Hyatt Place historically. It's been a good brand for us. And in fact, if you go back and look at the acquisitions the company's made, historically, it's been one of the best acquisitions that the company has ever completed. And so I think the brand can really work in the right markets with the right RevPARs. We have sold 4 Hyatt places as part of the 10 assets that we've sold over the last 18 months. And again, I think the common thread there has been, these have been lower RevPAR, lower margin hotels that needed significant capital and we had a hard time kind of making that math pencil. There's no kind of strategic initiative internally to say, we're going to sell all our Hyatt places. In fact, we've renovated a fair number of them. I think broadly speaking, we're happy with the remaining Hyatt places that we have. We'll always continue to be opportunistic around selling assets and that really isn't a brand-driven discussion. We try to be objective around what the ROI looks like when we go to renovate a hotel. Again, there's been a number of them that we've decided to sell, but the remainder of our Hyatt place portfolio is generally in good condition and we like the way they sit in their respective markets.
Operator: Thank you. This concludes our question and answer session and today's conference call. Thank you for participating. You may now disconnect.